Operator: Ladies and gentlemen, welcome to the Capgemini 2020 Full Year Result Conference Call. I now hand over to Mr. Aiman Ezzat, CEO. Sir, please go ahead.
Aiman Ezzat: Good evening, everyone. I’m delighted to welcome you to Capgemini’s full-year results. I’m joined by Carol Ferrand, our CFO. So 2020 was, for sure, an exceptional year for Capgemini. We faced the pandemic, carried a managerial transition and finalized the acquisition and launched the integration of Altran. In this context, I’m particularly proud of Capgemini remarkable performance and would like, once again, to thank our 270,000 employees and the management team that fought hard to deliver this performance and their solidarity to their community. So let’s rewind to April 2020. We stated that Q2 was the trough followed by a progressive recovery. That is exactly what we delivered. We also indicated once more that the group is much more resilient than during the last crisis, and we demonstrated it. Our full-year revenues grew by 13.7% at constant currency, in the upper band of the targeted range. Our organic growth saw a limited decline of minus 3.2%, a strong performance in the context of a global pandemic. And we end the year with a solid 20.8% growth at constant currency in Q4. Bookings are robust, growing by 13% at constant currency, and the book-to-bill stood at 1.07. This growth is supported by powerful drivers. Digital and cloud now represents 65% of group activity, ex-Altran in Q4. They are the key component of our clients’ transformation. And in 2020, we also exceeded our operating margin target and our organic free cash flow target, as you can see. Earnings per share are above expectation, up 7%. Based on this performance, we are proposing a dividend of €1.95 per share to be approved at the Annual General Meeting. We delivered beyond expectation, and we showed our resilience this year. Now if I look a bit at the view by geography, the trend is visible across many geographies in Europe, except France, which I will discuss later. In Asia Pacific and in Latin America, our business is growing strongly, including positive organic growth in these geographies in the fourth quarter of 2020. In Europe, growth was notably driven by a robust public sector and the TMT momentum. Operating margin was stable overall, up 30 bps in the U.K. and Ireland, to 15.5% and down 40 bps to 11.4% in the rest of Europe. In Asia Pacific and Latin America, very dynamic market with revenues increasing by 12.2% at constant exchange rate, which is remarkable because of Altran’s consolidation had limited impact here. Growth is sustained by financial services, TMT and services. The operating margin rate increased significantly nearly two points. And in North America, our revenues grew by 7.9% at constant exchange rate, driven by the Altran acquisition, which had a particular impact, of course, on the TMT sector there. Financial Services enjoyed strong momentum at the end of the year and achieved organic growth for the full-year in North America. The operating margin rate improved by nearly one point. We start to see the results of the transformation we undertook and the rollout should be finalized by the end of Q1. With the impact of Altran, France reported revenue growth of 14.2%, with strong contribution for the manufacturing TMT and energy and utility sector. However, as you know, the environment has been challenging, as it was the hardest hit by the pandemic, driven primarily by an unfavorable mix in manufacturing, consulting and engineering. Both revenues at constant scope and operating margin contracted visibly year-on-year. As we get in 2021, we expect to see a rebound starting in the second quarter. Now I want to talk a bit about a few deals, which really exemplify the number of wins we have around data, AI and cloud. They really showcase the value we bring to our clients, empowering them through data, AI and cloud to face the tremendous challenges of 2020. I won’t detail all of them, but if I can pick a few, for a global home furnishing retailer, we were selected to scale up a cloud platform to shift from 30 regional markets with proprietary systems to central customer data management. Business decision can now be based on the analytics from over 850 million customer transaction, and the employees are empowered to make decisions throughout the value chain. For Nordic Capital, private equity funds focused on healthcare, tech and payments and financial services, we structured artificial intelligence services that cover readiness assessment, strategy development, proof-of-concept pilot, implementation and center of excellence creation for all the 38 portfolio companies. And in front of 21 competitors, we showed the breadth and depth of our skills with assets to scale. For a U.S. Telco provider, we developed a machine learning ops platform to accelerate analytics deployment and set up data centers and processes. Data, AI, cloud, these topics are hot in the market, and they there are definitely key growth drivers to our success. So overall, our 2020 performance ticks the box of resilience. Since the financial crisis, we have always been challenged about our ability to resist to a new crisis. 2020 really demonstrates our resilience. Five-years ago at our CMD, we shared with you the positive evolution of our business and stated our confidence that in the event of a crisis, margin contraction would not exceed 100 bps. Despite the unprecedented abruptness of this crisis, our 2020 margin contraction was limited to 40 bps. It is the result of the transformation of the group: Our diversified client base; our relevant offering portfolio; the talent and commitment of our people; and the agile platform we built in terms of delivery and operations. Our resilience has been tested, and we come out of 2020 stronger than ever. If I move now to the Altran integration. In 2020, we made one of the biggest acquisition of our history with Altran. And here, it did not distract us from our business, but it delivered fully on its promises by creating joint value in Intelligent Industry, combining our complementary capabilities. I’m really impressed by the enthusiasm of the teams working together with a close culture, complementary business, the health crisis, which revealed the need for more digitalization of the industry. Some of our recent deals give evidence of the breadth and depths of our unique position. Servier, a global pharmaceutical group, partnered with us right in the middle of first COVID-19 lockdown to accelerate clinical trials. This deal shows our focus on relevance in life sciences, as exemplified by our data-driven R&D offering, which is one of the three joint Intelligent Industry offerings that we launched this year. For the U.S. aerospace industry, we envision a factory of the future concept and assisted in the design, architecture and implementation of all digital platforms required to set up a new factory in the U.S. Our complementary capabilities were key to succeed. We also collaborated with group PSA to develop a new concept, the Citro and AMI, by defying conventional standards to meet the environmental challenges. If I come back to the operational perspective, integration is perfectly on-track. Altran is fully consolidated in the Capgemini scope from April 1, 2020, and the main integration risks are now behind us. Some of the heavy lifting with legal entity systems and processes tasks will continue in 2021. And as stated before, two-third of cost synergies run rate will be reached by June 2021. Similarly, the group is confident it can achieve the commercial synergies announced, which represent an additional annual revenue of between €200 million and €350 million within three-years. Now looking forward, with this unique combination of skills and the strength of our result, I’m really confident on 2021. We expect a good acceleration as most sectors have either recovered, such as Financial Services, public sector, or are recovering. It is true that the ongoing COVID environment is still impacting the dynamic in manufacturing and services, and that will still weigh on the group growth as we start 2021. Another indicator is the strength of our bookings. Our book-to-bill ratio of 1.21 for Q4 is consistent with our growth scenario, we are also starting the year with a good commercial traction. Finally, we pursued our investments in 2020 to further strengthen our main growth drivers. We are extremely well positioned on what is hot in the market and on the CXO’s agenda: cloud, data, AI, connectivity, what I would call [softwarization] (Ph) and cyber security. So a few words on some of these assets. Cloud, data and AI are in all industries. You are familiar with them, we are well positioned to take advantage of this growth trend. Nothing new except that we see a clear acceleration in terms of demand. What I call softwarization is the trend that will become more and more visible in the coming quarters as intelligent products become mainstream, resulting in an increasing demand for software. We already see a number of large corporations setting up their own software factories and this is just the beginning. On the connectivity side, it is becoming more relevant with 5G and edge. It brings many new opportunities as we need to connect all this intelligent products and systems. And finally, cyber security is even more essential for everything we have just mentioned. All-in-all, with all these very positive signals, we expect gradual improvement in H1, and we expect to be back to our medium-term target by the end of the year. We are also working to increase our agility. 2020 has strengthened my conviction on the group’s ability to adapt to a very fast-evolving situation, driven by the strength of our leadership, our ability to mobilize our teams and our client intimacy. We have now been operating at or above 90% work-from-home for almost a year. We hire, train, sell and deliver remotely. Now we aim to make some of these changes permanent to fully benefit from the increased operating agility, cost efficiency and positive impact on carbon footprint. This would also enable us to be more attractive for talent and provide the best expertise to our clients globally. To highlight just some elements beyond the new normal that I just described, we partnered with Coursera to deploy our own digital learning platform with over 4,000 courses from global universities and accelerated the re-skilling around our key growth drivers. We launched new DevOps and agile and automation platforms. We are also digitalizing core processes to increase our responsiveness and agility. And we are perpetuating our smart cost management, which implies strict cost and capital control while focusing investment on the future. Our focus remains on achieving sustainable and profitable growth. On our responsibility journey, it is important that in this unprecedented context, I would like to conclude by a short word on our determination to strengthen our corporate, social and environmental responsibility ambition and initiatives. We achieved great results in 2020. First, in terms of taking action on climate change, in January 2020, even before the pandemic, we achieved our target of reducing our carbon emissions per employee by 30% based on 2015, nearly a decade earlier than our initial goal. And in July, we committed to achieving carbon neutrality no later than 2025 and net zero by 2030. We are well on-track with our action plans. Our focus is now shifting to enabling our clients to achieve their sustainability goals with several offerings that we expect to launch in the coming quarters. And in 2020, we also accelerated on diversity and inclusion journey. In terms of gender diversity, we enjoyed an increase of nearly two points compared to 2019, excluding Altran. And various initiatives were undertaken to support specific communities across the group. Our third pillar is digital inclusion. This year, more than 300,000 people have benefited from the group digital inclusion initiatives. These results were driven by the explosion of demand from our, notably, NGO partners during an exceptional year. We will, of course, continue to move forward on these important topics in 2021. I’m convinced that our new brand platform, Get the Future You Want, perfectly captures the expectation of our clients, our employees and stakeholders to grow in a responsible and sustainable way. In this context, we are confident for 2021. With the progressive rollout of vaccination, 2021 we will be back on our growth and margin journey. So for 2021, the group targets, revenue growth at constant exchange rates between 7% and 9%, with a perimeter impact of 4.5 points. An operating margin between 12.2% and 12.4%, so similar to 2019, and an organic free cash flow above $1.3 billion. I thank you for your attention. And now I will leave the floor to Carole.
Carole Ferrand: Thank you, Aiman, and good evening or good afternoon, everyone. Let me now comment the financial highlights of 2020. Capgemini demonstrated its remarkable agility and resilience, delivering results in line or exceeding our objectives. Group revenues reached €15.8 billion and returned €14 billion, a reported growth of 12.2% and 13.7% at constant, rate at the upper end of the 12.5% to 14% targeted range. Our operating margin stands at €1.879 billion and returned €79 million, or 11.9% of revenues. It is down only by 40 basis points year-on-year versus a contraction expected between 60 and 90 basis points. After the other operating expenses - financial and tax expenses, which I will comment later in more detail, the net profit for 2020 stands at €957 million, up 12% year-on-year. The normalized EPS as adjusted for transitional tax impact stands at €7.23, up 7% year-on-year. Finally, we generated an organic free cash flow just above €1.1 billion, well above our target of €0.9 billion for 2020. 2020 proved to be a very evolutive year in terms of quarterly trends, as you know. Over the course of the year, we combined two opposite impacts on revenues, from the pandemic and from the integration of Altran. After a steady start to the year, lockdowns and restrictions experienced in many geographies led the organic growth to a low point at minus 7.7% in Q2. Following the success of our tender offer, Altran is fully consolidated from April 1st. Its contribution has more than offset the impact of the pandemic on revenues with a constant currency growth at 13.4% in Q2. Since then, the organic underlying trends are progressively recovering across all regions and sectors. Combined with the contribution of Altran, group revenues achieved constant currency growth of 18.4% in Q3 and reached 20.8% in Q4. This led to a 13.7% constant currency growth rate for the full-year, while the organic growth stood at minus 3.2%. FX had a visible impact of minus 4.1 points in Q4, leading to an overall negative impact of minus 1.5 points in 2020. As a result, our reported growth stands at 16.7% in Q4 and 12.2% for the full-year. Based on current rates, we expect a headwind in the coming Q1 to be similar to Q4 and the negative full-year 2021 impact in the range of 1.5 points. Let’s now look at our revenues by regions. With so many underlying moving parts, constant currency growth rates for the full-year are a little complex to read. So this year, I will focus my comments on the latest key underlying trends. As anticipated, after a strong upturn already reported in Q3, most of the regions recorded a further improvement in Q4. In Europe, the United Kingdom and Ireland recorded a positive organic growth year-on-year in Q4, while the rest of Europe region remained virtually stable. In Asia Pacific and Latin America region reporting another quarter of organic growth. North America also continued its recovery with only a modest contraction. The organic decline in France was still sizable in Q4. However, Q4 confirmed the sequential improvement trend. Based on these organic trends and taking into account the contribution of Altran, all regions achieved a steady growth at constant currency in 2020. Let me remind you that Altran did not substantially change our geo mix, both company being quite similar from this standpoint. For your reference, the combined Q4 mix in terms of geo, but also sector and business is provided in the appendix section of this presentation. Moving on now to our revenues by sectors. As Aiman already mentioned, Financial Services, our largest sector, reported a strong Q4 with a further improvement of its organic growth versus Q3. The public sector maintained a sustained organic pace throughout the year. At the other hand of the spectrum, the Manufacturing and Services sectors, which includes transportation and hospitality, are still down year-on-year in Q4 on a like-for-like basis. The underlying organic trends of other sectors are gradually recovering. In terms of annual growth, at constant currency, our performance by sectors reflects the impact of Altran, which favored mainly the Manufacturing and TMT sectors. With Altran, we changed scale in TMT, which represents 13% of the group revenues in Q4 versus only 8% a year earlier. Considering now our revenue is by business line. All our business lines reported further improvements of their underlying trends in Q4. Strategy and transformation, our consulting services are progressively recovering with a smaller organic decline in Q4 versus the previous quarters. Application and Technology Services, the group’s core business, reported a further sequential improvement with almost stable activity levels in Q4. We also see some improvement in operations and engineering services. Auto and aero market are still lagging, however, we have good traction in life sciences, Telco and tech. With respect to our annual growth rate at constant currency, operation and engineering is by far the most impacted by the integration of Altran, which primarily delivers engineering services, with total revenues up by 55% in 2020. Consequently, our business mix is becoming slightly more diversified with the operations and engineering business line now accounting for almost one-third of group revenues. Moving now to the headcount evolution. Our total headcount reached 269,800 employees at the end of 2020, up 23% year-on-year with the integration of Altran, roughly stable on a like-for-like basis. After a slight dip in employee numbers in the second and third quarters, the group returned to a positive net hiring in Q4 2020. The offshore leverage on Capgemini legacy per meter increased slightly to 58%. Altran added close to 50,000 people who came with an offshore mix in the low 30s. As a consequence, the reported offshore stands at 54%. There is no change in our operating model, and we expect the engineering offshore ratio at Altran to increase in coming years. Our attrition decreased to 12.8% on the last 12-months basis, down by seven points versus 2019. Note that 2020 was a very special year in that respect, and we expect attrition to pick up with demand in 2021. Now moving to our operating margin by region. North America delivered visible improvement of its operating margin, up by 90 basis points. U.K. and Ireland remains our most profitable region with an operating margin of 15.5%, further improving by 30 basis points compared to last year. With the large impact of the pandemic on revenue, France also suffered from a sharp margin contraction of 340 basis points due to a noticeable increase in the bench and a lower fixed cost absorptions. Lastly, while the rest of Europe Regions report limited contractions of 40 basis points, Asia Pacific and Latin America delivered a notable improvement of 180 basis points. Considering the very abrupt and intense nature of the crisis in 2020, an overall margin contraction of only 40 basis points at group level demonstrate that our operating and financial result is now much more resilient. Moving on to the analysis of our operating margin. As the structure of Altran operating margin was substantially different from ours with visibly lower gross margin, higher G&A but lower sales and marketing expenses, the evolution presented here primarily reflects the consolidation impact of Altran. However, the sharp business contraction experienced in Q2 generated some pockets of underutilization and under absorption of fixed costs that impacted the gross margin. On a comparable basis, the magnitude of the gross margin decline was in the range of 0.5 point and was partially offset by savings on the operating expenses. Overall, after taking into account the contribution of Altran, the operating margin is down by only 40 basis points. Moving on to the next slide. Our financial expenses increased to €147 million versus €79 million in 2019, mainly due to the increase of our net debt with the Altran acquisition. Our income tax expense decreased from €502 million in 2019 to €400 million in 2020. Setting aside the capital gain on [indiscernible] and the transitional impact of the U.S. tax reform, our effective tax rate is almost stable at 33%. As previously discussed, our ETF should gradually trend towards 30% over the next couple of years. Now a quick recap of our P&L from the operating margin to the net income. Other operating income and expenses increased to €377 million in 2020, compared to €308 million last year. This increase is notably due to various temporary items linked to Altran deal. Acquisition costs are up to €38 million. Integration costs came in as anticipated at €71 million on a combined basis. As announced at the time of the acquisition, the €150 million envelope spans over the first two-years of integration, so you would expect the balance in 2021. Beyond this, amortization charges with nine months amortization of Altran, PPA-related intangibles, are up to €130 million. As expected in this very specific context, our restructuring costs peaked at €147 million, including Altran. Lastly, the capital gain realized with the disposal of [indiscernible] is accounted for in the other cost line. Consequently, our operating profit for 2020 stands at €1.502 billion or 9.5% of our revenues, up 5% year-on-year. After the financial expenses and taxes, our net profit amounts to €957 million, up by 12% compared to 2019. So our reported basic EPS increased to €5.71, up 11% year-on-year. Our normalized EPS is up 7% to €7.23 before the transitional impact of the U.S. Tax Reform. Finally, looking now at the evolution of our organic free cash flow and net debt. Our organic free cash flow reached a remarkable level of €1.119 billion, well above the €900 million target for 2020. We restated for the €225 million of unwinding of the Altran factoring program, we have been exceeding the record level reached in 2019, demonstrating the strength of the group’s business model. The cash outflows for acquisition reached €3 billion, largely relating to Altran, and net of the proceeds of the ODIGO deal. The seventh employee share ownership plan led to a gross share capital increase of €279 million, and we returned €745 million in dividends and buybacks. Overall, our net debt increased to €4.9 billion at the end of 2020 compared to €600 million a year before. This amount came in slightly lower-than-expected, thanks to our strong cash generation in 2020. After this very strong performance, the ability of the group to deliver its balance sheet is very well established. Aiman, the floor is yours for some closing remarks.
Aiman Ezzat: Thank you, Carole. So 2020 has been intense, for sure. Our top of the range results really demonstrated our resilience in the middle of a crisis. I’m convinced that the group is stronger than ever, with excellent fundamentals and the right asset to succeed in 2021. 2021 will be an exciting recovery year with promising market dynamics. The group is ready for 2021 to create more value for its stakeholders. With this, let’s open the Q&A. Operator, can you please provide the instructions.
Operator: Thank you. [Operator Instructions] The first question comes from Adam Wood from Morgan Stanley.
Adam Wood: Hi good evening, good evening to all and thanks for taking the question and congratulations on a very good year and a good set of results. I have got two, if I could. The first one is on the margins and the flexibility that you talked about gain from work-from-home. I think it is really interesting when we look at the margin profile of the business that outside of Europe, you are actually broadly able to take margins up in 2020, which is a phenomenal performance. And I guess that speaks to the flexibility you have with offshore and more flexible labor markets in those areas. I think in the past, you have talked about needing much higher offshore leverage to be able to do that in Europe, in Continental Europe. Can that work-from-home flexibility replicate what you would have got from offshore or do you still need a combination of both to be able to see the results that you get in those other markets in France and the rest of Europe? And then secondly, it looks as if you have got kind of two main areas that could rebound. One sounds like France, the other one sounds like manufacturing. Could you just give us maybe a little bit of a feel for what you are seeing in bookings in those areas. And quickly, that rebound could happen in 2021. Thank you.
Aiman Ezzat: Thank you, Adam. So first, on your first question, listen, we have created some operational flexibility, and we all know that by moving more to offshore, having less pools of resources constrained in cities in Europe, which was the primary access of deployment of these resources. And I have given examples in the past around that. It is true that work-from-home give us one more lever to try to optimize this deployment. It takes time to operationalize that. So we have seen it work. We know it works. Now to make it really fully operational, it will take a few quarters because we have to find a way to be able to deploy smoothly resources across cities, across countries in an efficient way. But it is definitely in our plans, and we will probably discuss that a lot more at the CMD. On France and Manufacturing, yes, for me, there is more areas than France and manufacturing, but I’m happy to address these two. First, on France, we will see a rebound starting in Q2. But there is still a bit of a drag. It is going to take a bit of time. Part of the challenge in France is basically the increased bench we have, some pockets of increased bench that will take a bit more time to resolve. But overall, it is going in the right direction. And I think the we will see a bit more traction as we go through the year. On the Manufacturing sector, it depends on which segments. There are some segments like -- which are going very well in manufacturing. Life sciences, which is part of our manufacturing sector, is basically booming. On the other side, I don’t expect all the [indiscernible] spot part basically recover for a while. So it is going to be a bit mixed there. And in the middle, there is the auto segment, which is another big one. We see positive signs in Germany, and we start to see some initial things happening in France. So again, I’m confident with the investments required in terms of transformation of the new product lines in the auto industry, that pickup will happen. It is just a little bit delayed compared to where we would have expected it to be at this time of the year.
Adam Wood: It is great. Thank you very much.
Operator: The next question comes from Amit Harchandani from Citigroup. Please go ahead.
Amit Harchandani: Thank you, good evening. Thanks for taking my questions. Two, if I may, please. My first question relates to the free cash flow performance, which was remarkably strong in 2020. And when I look at that adjusted for the Altran factoring dynamic, it seems that you are guiding to a flattish evolution from 2020 to 2021. So could you kindly help us walk through the puts and takes of what is factored into the year-on-year free cash flow generation, what is changing, what is not changing? And that would be my first question, whether there is any more factoring unwinding in the free cash flow guidance. And my second question is with regards to your talent employees, there is a sharp pickup in demand which presumably is picking up demand to hire quickly. At the same time, attrition might be picking up. Could you give us a sense for what is happening on the talent side of things? What kind of salary inflation metrics or attrition levels are you factoring in into your margin guidance for next year? So any thoughts around the talent would be much appreciated.
Carole Ferrand: Thank you, Amit. Maybe I will take the question on the organic free cash flow guidance. So Amit, what you need to take into account and to keep in mind, two things. The first one, that is that in 2021, we will have to consolidate Altran over 12-months. As you know, we consolidated in 2020 starting only the first of April. And the free cash flow of Altran is structurally negative in the first quarter. So that is the first point. The second point is also very important. It is that our remarkable 2020 achievement is filled by an improvement of our working capital. And even if we believe that in the mid-term, there is room for further improvement, we don’t see it in 2021 after such a strong achievement in 2020.
Aiman Ezzat: Okay. And on the talent, everybody saw a big drop in attrition last year, okay? And that is normal because the level of activity slowed down. People don’t leave. So basically, attrition go down. We hire a little bit less. Of course, in 2021, we will see a pickup in attrition, okay. Undoubtedly. But we believe that the investments we have made in our people in 2020 will pay off. And we will have, of course, to make somewhat higher salary increases in 2021 to take into account basically pickup in demand. It is very variable because it will depend on countries, capabilities, et cetera. So that is something we have been adjusting to. We are used to this kind of, as you imagine, exercises. And always we basically have to balance between reducing attrition and creating structural bubbles in terms of cost. And that is something, as you know, something we look at carefully so we will do that in the right way. And I’m quite confident the decision we have made will yield satisfactory results for 2021, while enabling us to be able to achieve both the top line growth and the margin guidance that we have given you.
Amit Harchandani: Thank you, Carole and Aiman.
Operator: The next question comes from Mohammed Moawalla from Goldman Sachs. Sir, please go ahead.
Mohammed Moawalla: Great, thank you very much and good evening and Congratulations on the numbers, the strong numbers. Two from my end. Firstly, Aiman, can you help us understand the evolution of the organic growth for this year? I know you have said in the past that Q1 is still expected to be negative. But as we move through the year, I think you also commented sort of exiting the year kind of more in line with your mid-term guidance. So just curious to understand if you are thinking on that shape has changed in any way? And then secondly, you talked about sort of the softwarization, increased softwarization. Which are the specific areas where you can add value in or core disciplines that could be tailwinds to your growth? And related to that, do you believe that sort of cloud digital growth rate of 15% is sustainable going into 2021?
Aiman Ezzat: Okay. So two good questions. First, on the organic growth evolution. The shape is not different from what we expected. As we said, we still expect probably not to be back yet come to growth in Q1. So Q1 will still be negative, but improvement over Q4. And then basically, we will be back to growth starting in Q2 with a good growth rate, taking into account some of the baseline effect of Q2. And then from there, basically, good organic growth going into Q3 and Q4. And our aim back to what was our medium-term guidance by Q4, that is really what we are aiming for, for the year, that what helps shape basically the profile of the year and the guidance that we gave you. On the software side, listen, it is not for nothing that we talk about Intelligent Industry, because it is not just about products, but it is also about ecosystem, it is about supply chains, there is going to be intelligence built everywhere, and intelligence is made of software. So every product, every system will become more intelligent and you will need to basically develop software for that. We start to see auto manufacturers setting up software factories. Because if you look at the car in the future, a big part of the cost of the car will be the development of the software. It will be the trend in many, many industries. So for us, we see softwarization as being a big trend. And yes, we are well positioned. It is a mix between our engineering and our custom development capabilities because you need to have a good understanding of the industry to be able to work on some of these software development, but you also need to have the very strong and deep capabilities in terms of software development to be able to do that. So I’m convinced this is a big trend. We start to see the pickup, and I think we are just at the beginning of it. And on cloud and digital, we aim to maintain a double-digit. I cannot tell you it is going to be 15%. But definitely, we continue to aim at double-digit growth rate going into 2021.
Mohammed Moawalla: Great. Thank you very much.
Operator: The next question comes from Stacy Pollard from JPMorgan. Madam please go ahead.
Stacy Pollard: Hi, thank you very much. Just a quick one on organic bookings growth. Could you give us a sense of that and then perhaps a breakout of core Cap versus Altran and kind of how you exited the year there? Second question, just maybe elaborate a bit on demand environment in North America and whether you think mid single-digit growth, or your targeting for the group, is also very likely to be the same in North America.
Aiman Ezzat: So good question to which I don’t have an answer. We have started basically joining a lot of the operations. I cannot tell you, basically, this is Altran bookings. This is Capgemini booking. For me, overall, if you look at the growth rate, and you can deduct it, we have a growth rate in terms of constant currency, about 13%. We have something similar in terms of the booking, that will help us to maintain a healthy book-to-bill, which is the most important thing to basically fuel growth of 1.07 and a pretty strong one at 1.21 in Q4. So I believe, Stacy, these are really the things to remember, as you look at that. From a demand environment in North America, it is more positive. We have been saying that basically, we saw a good impact of the transformation we have been carrying. We have been in it now for a few quarters. We will end up the rollout of this transformation at the end of Q1. Bookings have definitely picked up in North America, with a strong book-to-bill in the second half. It has been quite healthy. Good drivers around digital and cloud, and I really expect us very soon to be back to good traction in terms of organic growth in North America. Can we achieve mid-single digit? We will definitely aim like we aim for the rest of the group to be back to our medium-term guidance in terms of growth also in North America.
Stacy Pollard: Okay. Thanks. One quick follow-up. The temporary cost savings, how much of that do you think could turn into longer-term savings. So for example, is there an opportunity to really increase that operating margin over the mid-term?
Aiman Ezzat: Yes, I believe so. Yes, there is some of it that will stay. Listen, some of it will stay. As you know, some of it will pick up. People not traveling at all, even if we contain it and try to have a lower carbon footprint, we still have people traveling compared to no travel at all. So that is not sustainable. So some of these costs are going to come back. And with also some additional costs, moving people to work-from-home, providing them an environment, looking at how we work with more flexible work policies, et cetera, has a cost embedded in them. We get the benefit in terms of agility, better deployment, lower attrition, better talent attraction. So it is a balance. But overall, yes, I do expect to be able to keep some of the cost savings. And again, for further discussion when we meet at the CMD at the end of March.
Stacy Pollard: Okay. Thanks very much.
Operator: The next question comes from Stefan Slowinski from Exane BNP Pariba. Sir, please go ahead.
Stefan Slowinski: Alright. Thank you and good evening I’m on. Just a question around how the business is going to be managed this year. Obviously, you are hoping you get back to those medium-term growth rates by Q4. I mean if things do develop more quickly than expected, could we see that come through in the margin as well or would you look to reinvest that back into the business? And I note that your utilization rates are kind of quite high there at the end of the year. So will you be looking to use more subcontracting going forward? So just wondering about how you are managing the business around those two things this year.
Aiman Ezzat: Well, listen, first, we will give you the guidance at 12.2 to 12.4. I’m not going to tell you we are going to do more or less, depending on the environment. This is what we are comfortable with at this stage, and that takes into account basically. It is aligned with our growth guidance. So now, in terms of things like utilization and so on, I mean, we had a reduction in subcontractors in 2020. And it might pick up some of the subcontractor usage, depending on the speed of growth that we see in the market and our ability to basically fulfill some of these needs. But also remember that subcontracting is a way for us to create a bit more flexibility in our labor pool as well. And in some areas, we actually don’t want to hire, and we prefer to use subcontractors. But undeniably, we will have some increase in the subcontracting as we go through the year with an accelerated growth.
Stefan Slowinski: Okay. Great. And just one follow-up question. Just around travel, what kind of expectations do you have for this year in terms of the resumption of travel? Presumably, that is still at a very low level when you get to Q4. How much of that do you expect to resume?
Aiman Ezzat: No. I mean, we already have some travel in Europe. Remember, it is not just in Europe, people can travel. So we have some level of travel. I cannot say it. I’m validating a lot of expenses from my direct report. There are some. So travel is resuming bit by bit. And people have to meet people physically at one moment or the other. The digital connection is nice. But from time to time, we need to stand in front of people and have a good discussion with them. So as soon as we can, we will resume some of the travels, depending how fast the vaccine rollout happens. in some countries it might accelerate basically some of the travel, but will definitely be below 2019. But keep in mind that a lot of the travel costs are linked to projects, which are get rebuilt by clients, get rebuilt to clients. So it is not really a margin enhancement in most cases. But there are some linked to our travel, not linked to basically client work.
Stefan Slowinski: Okay. Thank you very much.
Operator: The next question comes from Laurent Daure from Kepler Cheuvreux. Sir, please go ahead.
Laurent Daure: Yes. Thank you, good evening and congrats from my side as well. I have a question just on the Altran business and all the opportunities and the deals you won, do we start to see some significant size on those deals, so does it remain tiny? And still on the Altran, is it fair to assume that the Altran profitability was less resilient than the one off Cap? Meaning that ex-Altran, maybe Cap could have been even completely flat versus the previous year. And my second question is on France. The margin recovery will only come from the top line? Or do you have some actions on the cost side planned for 2021 as well?
Aiman Ezzat: So three questions, Laurent. On the opportunities, they start to be some sizable deals. We are not in the hundreds of millions, but we start to see some tens of millions of deals. We have signed some. There are some in the pipeline, so it is building up bit-by-bit. But as you imagine, it is going to take a bit of time for some of these to really start taking shape and become much bigger. But I do have confidence that we will be able to turn some accounts to really large accounts over the coming years, like we have done with some of the other acquisitions. On the profitability, I don’t look at Altran and Capgemini profitability because we started integrating operation. But you could say, yes, if I look at the engineering segment, definitely with the increased bench, it had a bigger impact on the margin. But it is true also for the Capgemini engineering part. It is not specific. So it is more linked to the nature of the business and engineering overall, especially in Europe, we had to carry higher bench. So economically, even if you maintain your client margins, you will have basically some impact coming from the higher bench. So that is really where the difference is. The resilience is not coming from Altran et Altran. The resilience is coming from where do you have increased bench because of lower activity, will have a higher impact and where the bench is not resolved quickly, it will show less resiliency, if you want, or more negative impact on the margins. On the margin recovery in France, we know two things. One, we are definitely looking for better top line as we look into 2021 with back to growth in Q2. And that will help definitely to resolve some of the bench. The rest, we are basically looking really at the remote deployment of the resources, some of retraining and some remote deployment and increasing the agility of the pool. You know we start shifting some public sector deals to Tolouse, for example, instead of hiring in Paris, so we start to see more flexibility from clients to do some of these things, and that is how we are going to try to leverage through that in terms of the action. We don’t have any plans at this stage to make - if you think about peer sourcing or like that, there is nothing in plan around any such thing.
Laurent Daure: Thank you.
Operator: The next question comes from Michael Briest from UBS. Sir, please go ahead.
Michael Briest: Handing. One for me, maybe a bit provocative. Just looking at travel cost, they are down from 3.8% to 0.8%, a three point reduction half on H2 and H2 last year. Revenues are down 3%. So really - and utilization rate, as Stefan said, are actually higher in the second half than last year. Is basically the market back to normal volumes or pre-crises volumes and really, the only headwind to growth in Q1 is the lower travel Q2 lockdown? That would be my first question.
Aiman Ezzat: Okay. So I answer your first question, you probably have some to follow. So Michael, it is not provocative. I think there is some impact on top line coming from lower travel cost because some of it is something we built to clients, okay. It is definitely coming from there, but it is not only coming from there. So I consider that basically Q1, I don’t have that refined detail of analysis around how much travel costs we have in Q1 and how much growth. There might be some minor impact from there, but I wouldn’t say that. I think there are still some areas where I know when I see the growth is not coming from travel, right. When I see some of the decline in some segments, I know it is not just about travel cost, right. So there is still some headwinds we carry on in Q1 in some businesses. When you look at the year-on-year impact, it is still quite visible and not linked to travel.
Michael Briest: Okay. And then just looking at offshore, it did tick up in the sort of ex-Altran business slightly, but it is now sort of in the high 50s. Is that going to continue to increase, do you think, is there a target of 60%, 65% still or is this going to be that plateau, because I think historically, it is been quite a big headwind to volume growth converting into revenue growth for you?
Aiman Ezzat: So it is always an ambiguous question for a very simple reason. On one side, the offshore rate is increasing and we see actually increase offshore demand, okay? So in absolute terms, it would be in movement, it is increasing. On the other side, and we talked a bit about it, we are really speeding up on automation, which will have the reverse effect. So from a movement perspective, more is moving to offshore. But then is it going to show up in percentages? Somewhat, but it will be reduced by the fact that we are also increasing the level of automation that is around which we are driving our operation in [India] (Ph). So it will balance a bit. So it is difficult for me to say we are going to go - when automation wasn’t there, it was easier for me to commit to where we expect to be. Now with the automation playing as a headwind, if you want to percentage increase in offshore, it is a bit more difficult to track. But definitely, we will see some increase in offshore in the coming years.
Michael Briest: Okay. And then just finally, I mean, your peers are also reporting some very good numbers. And six-months ago, we were worried about price wars. Is actually the conditions now that pricing power is perhaps getting better?
Aiman Ezzat: It is going to depend very much on what we are talking about. There are still consolidations going on, and there is not much pricing power in consolidation. On the other side, if you go into some of the hot areas around AI, where we have huge demand, yes, definitely. You know we cannot discount on resources that are basically in very high demand. So it is mixed, Michael.
Michael Briest: Okay. Best of luck.
Operator: The next question comes from Neil Steer from Redburn. Sir, please go ahead.
Neil Steer: Hi thanks very much. I have just got two quick ones. The first is for Carole. I think, Carole, you break down within the integration cost Altran and what was sort of non-Altran integration costs. Can you just give us those figures again? And then for the current year, 2021, can you give us a feel for what restructure and total integration costs would be in the current year?
Carole Ferrand: So as you know, we target to have €150 million of integration costs, including restructuring. So all-in-all, we are on track. So what we are seeing is that in the €71 million of integration costs in 2020. A large portion of it relates to the Altran acquisition, of course. So you will see the remaining balance in 2021 as anticipated.
Neil Steer: Okay. So just to clarify, that would be greater in 2021. So if that was sort of the majority of the 71 million, that would be around at a similar level in 2021?
Carole Ferrand: Exactly.
Neil Steer: Okay. And then just a sort of a slightly obscure question. But if you look at public sector and healthcare, they have obviously been incredibly strong as you have gone through 2020. And in your modeling and the assumptions you are making for the business and the rebound as we go from Q2 onwards in the current year, what do you assume in terms of the profile and the strength of growth in both healthcare and public sector?
Aiman Ezzat: Listen, I think we continue to see good traction. When I get the feedback from the EMS, public sector remains healthy. We achieved the same growth rate as in 2021. In 2020, I think it is a bit too early to kind of look at that. But definitely, we continue to see good traction in public sector.
Neil Steer: So growth in public side continues throughout 2021, is that an assumption you are making?
Aiman Ezzat: Yes. Right now, that is what we have, yes, as the assumption.
Neil Steer: Okay. Thank you.
Operator: The next question comes from Nicolas David from ODDO BHF. Sir, please go ahead.
Nicolas David: Yes. Hi good evening and Aiman and Carole. I have two actually. First one is regarding M&A. Now that you succeeded your first year of Altran integration and you generated a strong free cash flow, do you plan to resume a more aggressive bolt-on acquisition strategy, notably in order to accelerate your addition to new? And what level of free cash flow could you affect M&A going forward? And second question is regarding taxes. What could be the potential impact on the new offshore tax that your government is planning to implement? Would it affect your targeted 30% each year for, I think, 2022?
Aiman Ezzat: Listen, on M&A, it is always the same story, right. I mean, we look at bolt-on acquisition, we look at strategic deals in the market. And based on that, we make the decisions if we need to move on something or not. Of course, in terms of free cash flow allocation, our free cash flow allocation, the ODIGO sale has basically given us a little bit more. It doesn’t mean that we are going to spend more on acquisitions. So right now, focus is a little bit more on bolt-on acquisition, but we will see as we go through the year.
Nicolas David: And maybe on that topic again. And do you have a precise M&A road map for Altran? Sorry for the follow-up.
Aiman Ezzat: So, I mean, we have integrated operations now working. So we have an integrated operation in terms of how we go to market. Last year, it was a bit more separate. This year, it is completely integrated from an operations perspective. What we still have to do is what I call some of the heavy lifting. People don’t realize, but we have to work on legal entities. We have to work on systems. We have to work on processes, these are pretty heavy in terms of integration activities. That is why we still have some quite a bit of spend on integration activities this year. Last year, we worked a lot more around the go-to market, the offerings, the cultural alignment and basically planning actually for this year, the naming of the leadership teams, et cetera. And this year, we are now set up and running in an integrated way from a go-to-market from the way we operate, from the numbers, the budget, et cetera. But still have to do some of the heavy lifting around the back office, if you want, that is quite heavy in integrations.
Carole Ferrand: As far as the taxes are concerned, I confirm what all we have enhanced that the trajectory is the same and that we are targeting to come to 30% rate in Capgemini this year. So no change in our global target.
Nicolas David: Okay. Thank you very much.
Operator: The next question comes from Nooshin Nejati from Deutsche Bank. Madam, please go ahead.
Nooshin Nejati: Hi, good evening. Thanks for taking my question. I only have one on utilization rate, the improvement in Q4. I know that it was kind of expected, given that during the last quarter of the year and the current work-from-home environment. But I was wondering how much of this improvement do you think is sustainable going forward and if actually you see a room for further improvement?
Aiman Ezzat: Again, I think on the long-term and the medium term, I think something we will discuss a bit at the CMD because I’m looking to see how we can improve basically based on more agile workforce model we are looking at. So I would aim for some improvement. If you look at utilization rates in Q4, it is a mix, right? As we have been not very slow in terms of recruitment because we need to know how the environment is, it has the impact of basically start to improve utilization rate in terms of driving high utilization rate. And again, here, what we have seen actually is the best pickup in utilization rate has been in some of our offshore locations like India, where basically we start to see quite a bit of pickup in Q4, and that kind of put off some attention on the utilization rate. Hence, some of what you see. Another area is in [indiscernible], where basically, we start to see some pickup of activity, but we have been very careful on the consulting business for most of the year in terms of recruitment. The impact is basically high utilization. Now we have to be careful it is basically when we start to see more accelerated growth, we are going to have to start basically hiring a bit more in advance, which might have some impact on the utilization rate.
Nooshin Nejati: Thank you.
Operator: Your next question comes from Amit Harchandani. Sir, please go ahead.
Amit Harchandani: Thank you. Just a follow-up, if I may. As I look through the slides, one of the points that I noticed was with regards to personnel costs, as a percentage of revenues in 2020, I think Slide 34. That is up to about 66.1, nearly an increase of 350 basis points year-on-year. Given the resilience and the level of offshoring that is been built into the group, I would have thought this would have probably gone up, but maybe not by 350 basis points. And clearly, travel and expense coming down does help, on the other hand. Just wondering, as we go into 2021, would we expect personnel costs to go back to the 2019 levels, just as the overall margins go back to 2019 levels or is there an Altran integration element there?
Aiman Ezzat: Exactly. So it is very difficult to read easily because there are many effects. There is FX rates playing into that. There is definitely the fact that we have been using less subcontractors, which basically puts more of the personnel cost on the Capgemini side and less seen in the subcontracting side. There is also the difference of mix that you are going to see between the Altran model and the Capgemini model, and Altran had a percentage of personal costs, which was a bit higher. So there are several factors playing at the same time. I do expect personnel cost in percentages to come down as basically activity picks up in 2021 with more travel cost, with more subcontractors. But I cannot tell you it is going to come down to 2019, especially if, there is an impact of mix from Altran. Okay, this was the last question. So thank you very much. For your attention, and we look forward to seeing you at the Capital Market Day at the end of March.
Amit Harchandani: Thank you.
Aiman Ezzat: Okay. This was the last question. So thank you very much for your attention and we look forward to see you at the Capital Market Day at the end of March.
Carole Ferrand: Thank you.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.